Operator: Good morning, ladies and gentleman, and welcome to the Heritage-Crystal Clean, Incorporated Fourth Quarter 2022 Earnings Conference Call. Today's call is being recorded. At this time, all callers' microphones are muted and you will have an opportunity at the end of the presentation to ask your questions. Instructions will be provided at that time for you to queue up your question. [Operator Instructions] Some of the comments we will make today are forward-looking. Generally, the words: aim, anticipate, believe, could, estimate, expect, intend, may, plan, project, should, will be, will continue, will likely result, would and similar expressions identify forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those anticipated by these forward-looking statements. These risks and uncertainties include a variety of factors, some of which are beyond our control. These forward-looking statements speak as of today, and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. Please refer to our SEC filings, including our Annual Report on Form 10-K, as well as our earnings release posted on our website for a more detailed description of the risk factors that may affect our results. Copies of these documents may be obtained from the SEC or by visiting the Investor Relations section of our website. Also, please note that certain financial measures we may use on this call, such as earnings before interest, taxes, depreciation and amortization or EBITDA and adjusted EBITDA are non-GAAP measures. Please see our website for reconciliations of these non-GAAP financial measures to GAAP. For more information about our Company, please visit our website at www.crystal-clean.com. With us today from the Company are the President and Chief Executive Officer, Mr. Brian Recatto; and the Executive Vice President and Chief Financial Officer, Mr. Mark DeVita. At this time, I would like to turn the call over to Brian Recatto. Please go ahead, sir.
Brian Recatto: Thank you, Colby. Good morning, everyone, and thank you for joining us today. On behalf of the entire Crystal Clean team, I want to let our investors know that we are very pleased with our record setting fourth quarter and full-year performance. We produced record revenue, net income and EBITDA during the fourth quarter. Mark will provide additional detail, but total fourth quarter revenue exceeded expectations at $241.1 million, which helped produce record EBITDA of $52.9 million. Now, I'd like to discuss the results in both of our reporting segments. Let me start with our Oil Business segment. During the fourth quarter of fiscal 2022, Oil Business revenues increased 14.3% to $75.3 million compared to the fourth quarter of fiscal 2021. The increase in revenue was mainly due to an increase in our base oil netback of $0.67 per gallon compared to the fourth quarter of 2021. Oil Business segment operating margin performed better than expected for the fourth quarter of 2022, but decreased 7.3 percentage points to 26.4% compared to 33.7% during the same period of 2021. The better than expected operating margin was mainly attributable to a higher spread between the netback on our base oil sales and the price paid/charged to our customers for the removal of their used oil. In comparison with the fourth quarter of 2021, the decrease in operating margin was mainly due to increased cost related to transportation and hydrogen expense, as well as lower leveraging of fixed cost due to lower production partially offset by an increase in the spread.  Our re-refinery team produced 13 million gallons of base oil during the quarter, which was approximately 8.1% less than the fourth quarter of 2021. A lower production was caused by an increase in unplanned downtime when compared to the fourth quarter of 2021. Let's now move on to the Environmental Services segment. In the Environmental Services segment revenue for the fourth quarter of 2022 was $165.8 million compared to $103.7 million for the same quarter of 2021, an increase of $62.2 million or 60%. The increase in revenue was mainly due to the continued reopening of the U.S. economy post the COVID-19 pandemic, as well as revenue from our acquisition of Patriot Environmental during the third quarter of fiscal 2022. We experienced volume increases across all of our service lines in this segment during the fourth quarter of fiscal 2022 when compared to the fourth quarter of 2021. Our revenue growth was achieved despite the negative impact of winter storms in parts of the Midwest and Eastern U.S. near the end of the fourth quarter. Environmental Services segment profit before corporate selling, general and administrative expenses was $35.1 million or 21.2% of revenue compared to $22.8 million or 22% of revenue in the year-ago quarter. The decline in margin on a percentage basis was due in part to increased equipment rental expense and solvent cost. While we are disappointing with our operating margin in this segment during the fourth quarter, we have a plan to improve our performance in upcoming quarters.  One of the areas which impacted our legacy branch business during the fourth quarter and throughout 2022 was supply chain issues related to third-party waste disposal. For example, our main outlet for incineration waste disposal was down and could not process waste for a majority of 2022. We also encountered multiple situations throughout last year when other third-party disposal outlets had operational challenges and could not accept waste. These outages caused us to redirect hazardous waste to secondary outlets at a higher overall transportation and disposal cost. Looking forward, our main incineration outlet has been back online and processing waste for a few months. We are also hopeful that between our efforts to vertically integrate from a waste processing standpoint and receiving more reliable service from other hazardous waste processing partners at 2023 will bring improved efficiencies related to waste disposal. We successfully processed approximately 88,000 waste containers at our non-hazardous waste processing facilities and expect to increase our throughput by 30,000 containers during 2020. We are also beginning to see tailwinds in other commodities, supporting our drum transportation and disposal business items such as containers, fuel, treatment chemicals, and parts washer solvent have all stabilized or decreased in price over the past few months. From a revenue perspective, in our Environmental Services segment, we're expecting to continue to have topline revenue growth as we are not seeing any measurable decrease in demand during the early part of the first quarter. We expect to have strong double-digit revenue growth in early 2023 with moderating growth as we progress through the remainder of the year due to an expected slowdown in macroeconomic conditions. The expected strong revenue growth is particularly exciting given the strong comps we'll be facing throughout 2023. From an operating margin percentage standpoint. Despite our fourth quarter results, we still believe we can increase profitability to the mid-20% range, even though it is taking longer than expected. Did a continued inflationary and hazardous waste supply chain issues. We initiated another price increase at the end of the fourth quarter, and we expect to realize most of the benefits of this increase in the first quarter of 2023. Machine translated an improvement in operating margin as we move forward. On a run rate basis, we expect to exit 2023 in the mid-20% range from an operating margin perspective. In the Oil Business segment towards the end of the fourth quarter of 2022, we saw base oil demand softening. Inline with seasonal expectations, we have continued to experience soft demand in the beginning of 2023. During the first half of this year, we expect spreads to continue to be strong. We are forecasting spreads to moderate the second half of the year to what we think will be the new long-term norm, which we believe will be above pre-pandemic levels. From an operating margin standpoint, we expect full-year 2023 to be in the mid-20% range with higher margins in the first half of the year than moving slightly lower in the second half of the year. Finally, I want to take a minute to discuss one of our more exciting opportunities. In early 2023, we introduced our 4never branded solution for management of PFAS contaminated waste. 4never is a first to market program, which utilizes both PFAS concentration and destruction technology, which provide landfills and industrial businesses, a single solution to the complex and potentially costly problem of management of PFAS waste streams. We are very excited about this opportunity and we have received a lot of interest in this new service from the marketplace. Our current focus is on ramping up our ability to provide this service to meet the demands of the market. While we are in the infancy of the program, we believe this business has the potential to deliver approximately $25 million in revenue on a run rate basis by the end of 2023. With that, Mark will take us through our fourth quarter financial results.
Mark DeVita: Thanks, Brian. It's a pleasure to speak with everyone today. In 2022, we generated $709.3 million of revenue compared to prior year revenue of $515.3 million, an increase of $194 million or 37.6%. The company's 2022 fiscal year was comprised of 254 working days compared to 253 working days in fiscal 2021. On a sales per working day basis, revenue increased approximately 37.1% in fiscal 2022 compared to the prior year. This increase in revenue was due to improvement in base oil pricing in our Oil Business segment, along with increased demand and higher selling prices. For the products and services in our Environmental Services segment, as well as by revenue from our acquisition of Patriot Environmental near the end of the third quarter of 2022. Net income was $27.6 million or $1.16 per diluted share for the fourth quarter of 2022. This compares to net income of $18.1 million or $0.77 per diluted share in the year earlier quarter. Adjusted net earnings for the quarter were $18.8 million with the largest adjustment compared to GAAP net income being a $12.2 million unrealized gain recorded in the fourth quarter of 2022 as a result of a remeasurement of our investment in Retriev Holdco, LLC, which was initially made earlier in 2022. Our fourth quarter 2022 adjusted diluted earnings per share were $0.81 compared to $0.79 in the fourth quarter of 2021. Let's get into the details and discuss our Oil Business segment results. As Brian mentioned, our Oil Business segment revenue increased 14.3% to $75.3 million compared to the fourth quarter of fiscal 2021. An increase in base oil prices was the main driver of the increase in revenue on a year-over-year basis. Brian mentioned that the base oil market softened during the fourth quarter compared to the third quarter of fiscal 2022. This softening resulted in our base oil netback decreasing by $0.80 per gallon during the fourth quarter compared to the third quarter of 2022. From a volume perspective, we sold 13.7 million gallons of base oil during the fourth quarter, which represents a 2.2% decline compared to the fourth quarter of fiscal 2021. From a profitability standpoint, Oil Business segment operating margin was $19.9 million or 26.4% of segment revenue during the fourth quarter compared to $22.2 million or 33.7% in the year-ago quarter. In addition to the factors Brian already mentioned, segment profitability was also negatively impacted by higher natural gas costs. On the used oil collection side of the business, our weighted average pay for oil increased by $0.22 per gallon in the fourth quarter of 2022 compared to the fourth quarter of 2021. Compared to the third quarter, our pay for oil decreased by $0.03 per gallon during the fourth quarter. The fourth quarter was the first quarter since Q2 2020 that our pay for oil declined on a sequential basis. From a volume perspective, we collected 13.7% more used oil during the fourth quarter of 2022 compared to the fourth quarter of 2021. From the re-refinery perspective, we produced 47.2 million gallons of base oil during fiscal 2022, which represents 94.4% of nameplate base oil capacity. This represents a slight decline from record production in 2021. The decrease in base oil production was primarily due to the increase in unplanned downtime at the re-refinery during the fourth quarter, which Brian mentioned earlier. Now let's discuss Environmental Services. The Environmental Services segment reported revenue of $165.8 million, an increase of $62.2 million or 60% during the quarter – compared to the fourth quarter of fiscal 2021. The increase in revenue was mainly due to the continued reopening of the U.S. economy post the COVID-19 pandemic, as well as revenue from our acquisition of Patriot Environmental made during the third quarter of fiscal 2022. The organic revenue increased during the fourth quarter compared to the prior year quarter was driven by both volume and pricing in our parts cleaning, wastewater vacuum and antifreeze businesses, and primarily volume in the containerized waste and field services businesses. Revenue from the Patriot Environmental acquisition during the fourth quarter was $36.6 million, which represented 35.3% of revenue growth for the segment compared to the fourth quarter of fiscal 2021. On a sales per working day basis, overall Environmental Services segment revenue increased approximately 57.9% compared to the prior year quarter. Our profit before corporate SG&A expense as a percentage of revenue decreased to 21.2% compared to 22% in a year-ago quarter. The decline in margin percentage was primarily driven by higher fuel costs, solvent expenses and equipment rental expense. Our overall corporate SG&A expense of $28.7 million increased by $8.2 million compared to the year-ago quarter. The increase was mainly driven by higher salaries and benefits as well as higher amortization of intangibles related to acquisitions. Corporate SG&A expense as a percentage of revenue decreased slightly to 11.9% from 12.1% in the year-ago quarter, mainly due to higher revenue and lower share-based compensation expense. EBITDA for the fourth quarter was $52.9 million and up 60% or $19.7 million compared to the year-ago quarter. This represents the third consecutive quarter of record EBITDA, adjusted EBITDA of $42.1 million with 17.5% of revenue and represents a 17.9% increase compared to the prior year quarter. The company's effective income tax rate for fiscal 2022 was 26.5% compared to 25.8% in fiscal 2021. The difference in the effective tax rate is principally attributable to the diminished impact of certain required adjustments to financial reporting income in determining taxable income in fiscal 2022 as compared to the impact of those adjustments in fiscal 2021. Looking at the balance sheet, we had $22.1 million of cash on hand at the end of the quarter. This balance is reflective of a $10 million payment on our revolving loan made during the fourth quarter. Our primary sources of liquidity for the quarter were cash flows from operations and funds available to borrow under our revolving bank credit facility. We generated $34.2 million in cash flow from operations during the quarter, which represents a 22.6% increase compared to the fourth quarter of 2021. We generated free cash flow of $10.7 million during the fourth quarter of 2022 compared to $15.9 million during the fourth quarter of 2021. From an M&A perspective, we have a robust pipeline of opportunities and we continue to look for target companies, which we believe will fit well with our strategy. Regarding our recent acquisition of Patriot Environmental as at the end of fiscal 2022 on an annualized basis, we effectively achieved our cost synergy goal and we continue to look for more synergy opportunities as a result of this transaction. I want to let everyone know that we intend to begin reporting our results in three segments, beginning in the first quarter of 2023. Our Oil Business segment will continue to reflect the same activities reflected in the Oil Business segment in the past. However, we will begin to report the results from the former Patriot Environmental business, the HCC Legacy Field Services business, and the operations of our non-hazardous waste processing facilities in our new industrial and field services segment. For clarity, our non-hazardous waste processing facilities include our wastewater treatment and containerized waste processing operations. We believe the new industrial and field services segment will represent approximately one-third of the revenue previously included in the Environmental Services segment. The remainder of the activity historically reported in the Environmental Services segment will continue to be reported in the new Environmental Services segment.  As it relates to Brian's forward looking comments about the Environmental Services segment, we expect the new Environmental Services and the new Industrial and Field Services segments to have similar revenue growth rates. Regarding operating margin, the guidance Brian just provided was based on if we were to continue to report Environmental Services on a combined basis. As we begin to strip out industrial and field services and report it separately, we would expect the new Environmental Services segment to have an operating margin, which is a couple percentage points higher than what Brian alluded to earlier on a combined basis. And we would expect the new industrial and field services segment to have an operating margin percentage, which is a few percentage points lower than what the operating margin percentage would have been on a combined basis. In addition to the reporting segment changes I just mentioned, I want to remind everyone that effective January 1, 2023, we are reporting our results on a calendar quarter and calendar year basis. To summarize, we are excited with the strong topline growth we've experienced in our Environmental Services segment, and we are focused on finding ways to improve our operating margin in this segment. We continue to be pleased with our ability to capitalize on the new fundamentals and our Oil Business segment and to produce improved profitability compared to pre-2020 results. This concludes our prepared remarks. I will now turn the call over to Colby to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Quinn Fredrickson from Baird. Your line is open.
Quinn Fredrickson: Hey. Good morning, guys. First just on the new segment reporting structure. Will we be getting historical pro formas? Will that just be provided on the first quarter or will we get that ahead of time? Just wondering on what we'll be getting for that?
Mark DeVita: That will be with the quarter. Yes. We'd like to send it out ahead of time, but we want to make sure it's right. Obviously there's a lot of minutiae to the reforecast or recasting I should say, of the business. So that's when you should expect to see it.
Quinn Fredrickson: Okay. Thank you. And then secondly, I was wondering if you could break down some of the factors that underlie your 2023 organic growth outlook for ES in terms of what you might be assuming for market growth, any rollover pricing, new pricing and share gains?
Mark DeVita: Well, I'll start off, Brian can contribute. But just from a pricing breakdown, we've seen in most of the lines of business, and I mentioned – I called a few of them out the last quarter and probably for the last couple of quarters, we've seen roughly a 50-50% or 50-50 breakdown, maybe a little more skewed towards volume in one quarter in 2022 and price the other, but pretty close to 50-50 as far as price and volume that's driving the increase. Containerized waste has been more skewed to volume, but the rest of them have been in that range, and we would expect to see roughly that same amount. I mean, volume should be coming – we're not – Brian alluded to, we're not going to be growing at the same rate that we've been growing at in a lot of businesses and the inorganic growth. But from a pricing standpoint, also, if there is a softening of the economy, which we believe is inevitable here, and that starts to add headwinds to volume, we're probably not going to be able to take as much price as we've been able to do in the last 18 months. I mean, we've had roughly four price increases in that timeframe, and it's going to probably get harder and harder, even though our realization has still been pretty good. We don't expect to see that. So we see both of them coming down together, but there should be a mix of both. I don't know, Brian, if you have any clear view…
Brian Recatto: I do think Quinn, from a hazardous waste standpoint, we'll do some additional price increases throughout the year in a more rifle shot approach, just because the demand is still very, very strong in our ES business and the hazardous waste treatment facilities are still a bit backed up with waste that's sitting at the customer location. So we will see another opportunity to raise prices on the hazardous waste end. And obviously, you know, that we're building our own treatment capabilities in the non-haz market, which has given us some nice tailwinds in terms of growth where we're able to go out and chase some larger industrial business. As we talked about in our prepared remarks, we're pretty excited about the PFAS growth opportunities. We already have equipment working at our Michigan location, so we are treating PFAS contaminated water and it's going to be a nice tailwind towards the back of the year to help us with ES growth. So we still feel very good about overall prospects in ES.
Quinn Fredrickson: Okay. That's helpful. And then if I could just sneak one more in, you mentioned the mid-20s operating margin for oil business. Is that still kind of the right way to think about that business as a normalized margin rate going forward even beyond 2023?
Brian Recatto: Yes. That's really the way we're looking at it. We're really pleased with our overall performance in oil. And I want to give a shout out to our re-refinery team. We completed another year without a recordable or a lost time injury, so great operating performance for the plant. We're still very bullish on it. Lots of interest in our base oil from large integrated oil companies because of the ESG properties of our base oil. I think we'll have an opportunity over the course of this year, the term up even more of our supply given the attractive nature of our base oil. So we're bullish on it. We think the mid-20s makes sense for us on a go forward basis. 
Quinn Fredrickson: Okay. Thank you, guys.
Brian Recatto: Thank you.
Mark DeVita: Thanks.
Operator: Your next question comes from the line of Brian Butler from Stifel. Your line is open.
Brian Butler: Good morning. Thank you for taking questions. I guess I'd just start maybe on the PFAS that you talked about, that kind of run rate exiting 2023 being $25 million. Can you give some color maybe on what percent of capacity does that represent and thoughts maybe longer term on the size of the opportunity?
Brian Recatto: Yes. I mean, as you know, the opportunity is extremely large. We need some regulatory cooperation. Obviously the EPA is yet to settle in on treatment standards for PFAS waste. The activity has been driven for us by states that have been a bit more aggressive than the federal EPA, but we think it's a tremendous opportunity. It's based a lot on delivery of equipment for us. If you read our 4never press release, we have a concentration technology that we have the exclusive right to market in the U.S. which takes the large volume wastewater, concentrates the PFAS contamination. Then one of our other partners has the ability to destroy the resulting concentrate. So we'll offer a turnkey package utilizing our Vac trucks, our wastewater treatment plants, the ability to concentrate, and then the ability to destroy. And it's a function of us being able to get the equipment. We're expecting delivery of quite a few units of the concentration equipment this year, which is giving us some comfort around the run rate of $25 million in revenue, full-year effect of that equipment and in 2024, should put us a double that number in 2024. And then beyond that, we think it can continue to grow as a state regulated, so we're very excited about it.
Brian Butler: All right. That's helpful color. And then I guess going back on the margins in the ES business and do you think kind of exiting again in the mid-20s and the price increase from December, I actually think that paces through the quarters. I mean, do you see most of that improvement in the first quarter as that price becomes realized? Or is it going to kind of really slowly build up to get to kind of that exit at the mid-20s?
Brian Recatto: Yes. It's going to slowly build up. Obviously we're beginning to see the impact of it already in Q1. We did the price increase in December. The encouraging thing from my perspective is we're not seeing additional price increases from our hazardous waste vendors. The market is beginning to stabilize, the waste treatment facilities are beginning to catch up on the backlog. So I think we'll get a bit of a reprieve from seeing price increases from our third-party hazardous waste suppliers. As Mark mentioned, we did three comprehensive price increases over the course of 2022, which we've never done in the history of the company. And we felt like we were chasing our tail all years of staying ahead of our third-party vendors. That's something we're fixing with the development of our own in-house treatment capabilities because we want to get control of our own destiny. So we do think we're getting a break now, we've raised our prices. We are going to look at rifle shot approach on hazardous waste because the market has changed so much over the last two years in terms of supply demand, as you've heard from our competitors in their quarterly conference calls. But we're confident that by second, third quarter we'll begin to see the mid-20s range.
Brian Butler: Okay. And then maybe just one last quick book-keeping. Can you give some thoughts on just tax rate and interest expense for 2023 on how we should be kind of thinking and modeling that?
Mark DeVita: Yes. Tax rates, I think we're going to be in that 26% range where we've been the last couple years. We have some permanent items that pop-up here and there, which get us to that. I don't want to do too deeper dive, but we can go into more detail later on that issue. And from an interest expense standpoint, we do plan to – and this is all [indiscernible] material acquisitions, any that would cause us to dip into or borrow money, increase our revolving restructure or debt, whatever. But given the current situation, if we just consider that to be that status quo to be in place for the year. You're probably looking in that $6 million range. And that would include some pay downs because obviously we're going to be generating cash, we believe anyway, or we expect to, and we'll be using some of that to pay down what our balance is as of year end.
Brian Butler: Great. Thank you.
Brian Recatto: Thank you.
Mark DeVita: Thanks, Brian.
Operator: Your next question comes from the line of Jim Ricchiuti from Needham & Company. Your line is open.
James Ricchiuti: All right. Thank you.
Brian Recatto: Good morning, Jim.
James Ricchiuti: Good morning. So in addition to the pricing which should benefit your ES margins over the balance of the year, you talked about a plan to improve in the upcoming quarters and I'm wondering if you could elaborate on. I think you touched on a few of them, but if you could just elaborate on some of the measures you're taking that gives you the confidence on that margin uplift?
Brian Recatto: Yes. One of the things that'll help us with the margin uplift is going to be the full-year effect of having the ability to process more of our waste containers internally. I think you heard in our prepared remarks that we're going to increase that by roughly 30,000 containers in 2023. A lot of these sites were permitted and built over the last 18 months. So it's the full-year effect of being able to use our internal network. And there are other costs. We had lots of other inflationary issues that we dealt with outside of third-party price increases, which are beginning to moderate as the economy cools off. A lot of the input costs into our drum business. I mean simple things like containers, fuel, chemicals, treatment chemicals, solvents for our parts washer program. All of that started to stabilize toward the end of the year, which gives us more comfort on our ability to improve margins. And then I think we're not done with price, especially as it relates to RCRA hazardous waste. We feel really good about where our non-haz price it is, the complex has changed a lot over the last couple of years and we're going to tweak our hazardous waste pricing.
Mark DeVita: As Brian mentioned, you layer all on top of all that, you layer not having to go through extra trans cost and extra cost. We incur not having any RCRA permitted Part B permitted facilities to terminate manifest. We're having to move waste to make sure we're compliant. And that is adding a lot of cost into his earlier point about some of these outlets opening up as they've been opening up and as they work through their backlog, that's naturally going to – even if they didn't change any of our prices, those costs are naturally going to go away because we won't be taking a trailer of waste tier and we have to transfer to another site to make sure we're compliant.
Brian Recatto: And over the course of this year, we'll move back to our primary third-party disposal vendors versus having to use some secondary outlets, which are a bit more expensive.
James Ricchiuti: Got it. Thank you. And just on the PFAS opportunity. As we think about the ramp in that business over the course of the year and your expectations looking out to 2024, is there a way to think about where we're going to see this equipment? Is this geographically? Talk to us a little bit about how you see this playing out just in light of the fact that there's still a lot of confusion around the regulatory situation, right?
Brian Recatto: Yes. That’s a good question. What's driving the demand currently is, you have a lot of municipal wastewater treatment plants, which are taking, for example, leachate from a municipal landfill that maybe located near the POTW. They are beginning to become reluctant to take leachate that's contaminated with PFAS contamination. So that's creating the drive for the market opportunity. So the way we're approaching it is we're sticking the equipment at the landfill location to do the concentration steps. And if for some reason the landfill is close to one of our wastewater treatment plants, we can put the equipment in our wastewater treatment plant. But the way the model is going to work over the long-haul is we'll put the reduction equipment at the generating source, whether that be a landfill or an industrial application. And I think it's going to be driven by the states that are being aggressive. States like Michigan, Maine, they're the ones that are pushing the hardest. We've done a couple of small projects in Florida, we're seeing a little bit of activity, at least call in activity from California, some of the more progressive states. That's where we'll see the early geographic opportunities. And our approach to the market is to take the treatment system to the generating location, concentrate the waste, use our Vac trucks to pick it up, bring it back to one of our wastewater treatment plants for the ultimate destruction component of our complete turnkey package is to eliminate PFAS contaminated waste.
Mark DeVita: And Jim, if I can add, I know it wasn't part of your question just to add clarity if it wasn't clear enough. So our strategy that Brian outlined, the reduction, the destruction technology, a lot of that, sometimes it would be on site at a very high volume generator, but a lot of times it's going to be at our plant. So those results from a reporting standpoint will be manifest themselves or be included in the industrial and field services segment that the new one we talked about.
James Ricchiuti: Got it. That's helpful, Mark. Appreciate that. Is there – I know its early days with this, but is there a way to, for us to get our arms around the profitability metrics that this business could show?
Brian Recatto: Yes. We're not expecting it to be much different than our current margin percentage in ES. Early returns are positive, so mid-20s is our expectation.
James Ricchiuti: Got it. Thank you.
Brian Recatto: You're welcome.
Mark DeVita: Thank you.
Operator: Your next question comes from the line of Kevin Steinke from Barrington Research. Your line is open.
Kevin Steinke: Hey, good morning.
Mark DeVita: Good morning, Kevin.
Kevin Steinke: I wanted to ask about the new segment structure and just maybe more of the reasoning or rationale behind that in terms of what you'd like to highlight to investors with that new alignment. And also, does that better – how the business is currently operating or is there some change going on and the operating structure that also is driving that new segment reporting?
Mark DeVita: Yes. We really think, and this is kind of, if you're accounting geeked out, you really have to look at exactly what you mentioned when you're talking about reporting segments or at least you should. And we really, when we approach utilizing our plants more, we want to direct a lot more of our field services and this includes our legacy business, not just Patriot, the new Patriot business. But we want to direct a lot of that work. Some of it's labor of course, but there's a lot of disposal and treatment that is related to that work. So we want to tie that in with our – our new processing capabilities and growing processing capabilities, we hope. So we think that makes a lot more sense. A lot of times that's not – that doesn't involve a lot of our branch sales and service people, those people that are on a regular route. This is more project oriented. So from a management and just the type of work, even to a lot of cases, the training, you're probably going to have to have enhanced training. If you're – some of these people doing some of the work on these field services or industrial services projects, then you would, if you're on our sales and service routes or part of that legacy branch network. So it really makes sense not just how we go to market, but what the work is and how it aligns with the vertical integration that we structure environmental and field services, which again is the name of the new segment together and strip that out from, in Layman's terms or even flying term, the environmental services business will be more reflective of just the HCC legacy branch operations.
Kevin Steinke: All right. Understood. Thanks. And then in terms of the cadence of margins, typically you see that seasonal downtick in the environmental services margin in the first quarter. Is that something we should expect to continue to see or the December price increase help mute that or offset it. What's your kind of expectation there?
Mark DeVita: I don't think it's going to be much different. Obviously time will tell. The wild card always is weather. That's one of the things. And it's not like we've been – we've avoided any weather in the quarter we have for a lot of the country. There's talk even coming up here in the next 24 hours of some major storms. So we clearly don't have our results yet, but I still think there's reason to believe that that seasonality will still rear its head. It might be a little less so, or a little less negative on a seasonal basis than you would normally expect, only because there has been overall a little more mild winter in a lot of the places that might normally get hit harder. But I don't think it's going to be much different. Brian, do you have a different view?
Brian Recatto: No, I agree. Q1 will be consistent to slightly better than Q4 and we expect to ramp up to begin in Q2 because we have the full effect of the price increase and then we'll obviously continue to work the rifle shot approach on raising prices in RCRA hazardous waste market that we participate in. So the ramp up will begin to happen in Q2 and Q3.
Mark DeVita: Because when you think about the historical even from a price increase, we used to – again, 18 months ago, we got out of whack because we did it in beginning of our period 10, so mid-September of 2021 when we did an increase. But typically we're doing it at the beginning of November or halfway through our Q4 as at least it used to be structured. So Q1 is normally getting that boost from a price increase. So I don't think, while the timing was slightly different as to when we started to implement it, and it might not be exactly the same, you still have the same general effect as you would versus historical years.
Brian Recatto: And we'll continue to base load these non-hazardous waste processing facilities, which over time, as you increase the volume going into these sites, you're going to naturally improve margins. It's a whole new endeavor for us. Obviously, historically, we never processed any waste and we processed 88,000 containers this year. With the same footprint, we'll process another 30,000 containers in 2023 and that'll continue to grow. We're adding some mechanical processing capabilities of one of our facilities, which will greatly enhance the throughput. So that'll begin to drive the cost structure down as we base load the facilities.
Kevin Steinke: All right. Thanks. Thanks for the insight. That's all I had. Thanks.
Brian Recatto: Thank you.
Operator: Your final question comes from the line of Gerry Sweeney from ROTH Capital. Your line is open.
Gerard Sweeney: Hey. Good morning, Mark and Brian.
Brian Recatto: Hi, Gerry.
Mark DeVita: Hi, Gerry.
Gerard Sweeney: I got dropped for a few minutes, so if I repeat a question just let me know and I'll look at the transcript. But just following on a little bit on the waste disposal side, you mentioned 88,000 barrels this year, adding 30,000. How much – well, how much do you want to internalize in terms of maybe percentage of business? And at some point some of these waste streams are potentially could be inconsistent in certain areas. Would you actually take some waste from third parties? And is there an opportunity from that perspective?
Brian Recatto: Yes. Good question. We are taking some waste already from third parties, so that's certainly going to be an avenue that we pursue. But in terms of number of containers last year, 280,000 containers, we touched over the course of 2022. And as we build out this network, I'd like to see the internal processing get to a 70% level, which I think is doable based on the type of waste streams that we're currently picking up. And as you know, and I've mentioned on other calls, we're permitting some part B facilities because we think it's important. As we pursue long-term growth in creating shareholder value, we want to be able to take [indiscernible] waste, we want to be able to enhance the cost structure by changing the physical state, consolidating it, shipping it out in bulk versus shipping it out in containers. Those are all things that we're going to work on. But near-term, with our current capabilities and as we add plants geographically, we have a goal of getting to 70% internal processing.
Gerard Sweeney: Got it. Thanks. And then this question may have been asked, but on the split of the ES to ES and field services over time, do those same two businesses have, I know you give a little guidance on where margins will be, but over the long-term, are those similar margin businesses or is one a little better than the other?
Brian Recatto: Our legacy ES business will have higher margins, especially as we base load the waste treatment plants. ES is being more project-driven, but very important our field services business performs well. Should over the long-haul come in a couple of percentage points lower than our traditional branch business.
Gerard Sweeney: And on that branch business, historically, well I should – I believe historically if you target around 27%. Is that still the case or is that change a little bit with the split out?
Brian Recatto: Yes. I'm going to – we are going to get it back in 27%.
Gerard Sweeney: Got it.
Brian Recatto: No doubt. I mean, it's been a business for 35 years. So last couple of years have been unbelievably difficult from a supply chain standpoint and understanding that a lot of our waste has to be third-party to a competitor. Most of these competitors have been overloaded with waste and backed up and have tons of pricing power. If you've heard from their conference calls, that has negatively impacted us. Our goal is to continue to capture market share. We've got to be competitive. So that's why we worked really hard over the last couple of years to build out our own capabilities and we're going to keep doing that because we want to be a full service environmental company that compete with anybody.
Mark DeVita: When we'd like to get there this year, but Brian stated, and you might not have heard it, but yes, we're probably not going to – we're not forecasting to get there this year. But that's certainly where this business belongs. I mean, especially, and if you get out of, and this would be maybe three to five to even more out, but if you got to a point where you weren't growing anymore, you know that over half of our branches are not of what we would consider a fully loaded. Yes, route op or optimized routing. So not routing from a transportation standpoint, but loaded from a route efficiency standpoint. So this business – because we see it in individual branches, the new environmental services business without industrial and field services in it, that could be a 30% margin business over the long-term.
Gerard Sweeney: Got it. Great. Thanks. I appreciate it.
Brian Recatto: Thank you.
Mark DeVita: Thanks, Gerry.
Operator: There are no further questions at this time. This concludes today's conference call. You may now disconnect.